Operator: Good day, and welcome to the Hope Bancorp 2025 Second Quarter Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Angie Yang, Director of Investor Relations. Please go ahead.
Angie Yang: Thank you, Drew. Good morning, everyone, and thank you for joining us for the Hope Bancorp 2025 Second Quarter Investor Conference Call. As usual, we will be using a slide presentation to accompany our discussion this morning, which is available in the Presentations page of our Investor Relations website. Beginning on Slide 2, let me start with a brief statement regarding forward-looking remarks. The call today contains forward-looking projections regarding the future financial performance of the company and future events. Forward-looking statements are not guarantees of future performance. Actual outcomes and results may differ materially. Hope Bancorp assumes no obligation to revise any forward-looking projections that may be made on today's call. In addition, some of the information referenced on this call today are non-GAAP financial measures. For a more detailed description of the risk factors and a reconciliation of GAAP to non-GAAP financial measures, please refer to the company's filings with the SEC as well as the safe harbor statements in our press release issued this morning. Now we have allotted 1 hour for this call. Presenting from the management side today will be Kevin Kim, Hope Bancorp's Chairman, President and CEO; and Julianna Balicka, our Chief Financial Officer. Peter Koh, our Chief Operating Officer, is also here with us as usual and will be available for the Q&A session. With that, let me turn the call over to Kevin Kim. Kevin?
Kevin Kim: Thank you, Angie. Good morning, everyone, and thank you for joining us today. Let's begin on Slide 3 with a brief overview of the quarter. The second quarter of 2025 was a milestone quarter for Hope Bancorp as we completed the acquisition of Territorial Bancorp, entering the strategically important market of Hawaii. We are excited about the opportunities that this presents. We also repositioned a portion of our legacy securities portfolio to enhance our interest income. Accordingly, we believe net income, excluding notable items, is more indicative of our fundamental performance this quarter. Net income for the 2025 second quarter, excluding notable items, totaled $24.5 million, up 7% from $22.9 million, excluding notable items in the preceding first quarter. Earnings per diluted share, excluding notable items, were $0.19 for both quarters as we issued 9 million shares with the Territorial transaction. As a result of the onetime loss incurred from selling lower yielding legacy securities and from merger-related items, together with a onetime impact from a change in California's state tax apportionment law, we reported a net loss of $27.9 million for the second quarter. Pretax pre-provision net revenue, excluding notable items, grew to $41.2 million in the second quarter of 2025, up 17% from $35.2 million in the 2025 first quarter. This reflected the impact of the Territorial acquisition, legacy loan growth, improvement in the cost of deposits and core fee income growth. Moving on to Slide 4. All our capital ratios remain well above the requirements for well-capitalized financial institutions after the close of the Territorial acquisition. Our strong capital levels and ample liquidity provide us a healthy cushion with which to navigate various macroeconomic scenarios and support prudent balance sheet growth. Our Board of Directors declared a quarterly common stock dividend of $0.14 per share, payable on August 15 to stockholders of record as of August 1, 2025. Continuing to Slide 5, strengthening our deposit franchise remains a key priority. At June 30, 2025, our total deposits with the completion of the Territorial acquisition, grew to $15.9 billion, an increase of 10% from the end of the prior quarter. The addition of Territorial's low-cost deposits drove a substantial improvement in our cost of deposits. In addition, the ongoing maturity and renewal of CDs to lower rates will contribute to the improvement in the cost of funds. Our average cost of interest-bearing deposits declined 37 basis points quarter-over-quarter, and our average cost of total deposits decreased by 22 basis points quarter-over-quarter. Similar to past quarters, we continued to reduce our brokered deposits exposure, which decreased by $183 million or 19% quarter-over-quarter. Overall, the broker deposits ratio declined to 5% of total deposits at June 30, 2025, down from 7% as of March 31, 2025, and 9% as of June 30, 2024. Moving on to Slide 6. At June 30, 2025, loans receivable of $14.4 billion were up 8% from the end of the prior quarter, reflecting the addition of Territorial's loan portfolio as well as strengthening organic loan production. Organic loan production increased 57% from the first quarter levels with a well-diversified mix of originations across all our areas of lending. Stronger production has translated into modest net growth in our legacy portfolio. Similar to past quarters, we saw robust net growth from Bank of Hope's residential mortgage team. In addition, commercial real estate loans were up slightly quarter-over-quarter. Late in the quarter, we experienced some short-term paydowns in certain commercial lines of credit and those balances have largely rebuilt immediately after the quarter end. Overall, with the addition of Territorial, our loan portfolio diversification has improved notably. Residential mortgage and other loans represented 16% of our total loans as of June 30, 2025, up from 9% at March 31, 2025. On slides 7 and 8. We provide more details on our commercial real estate loans, which are well diversified by property type and granular in size. The loan to values remain low with a weighted average of approximately 46% at June 30, 2025, and the profile of our commercial real estate portfolio has not changed meaningfully. Asset quality remains stable. With that, I will ask Julianna to provide additional details on our financial performance for the second quarter. Julianna?
Julianna Balicka: Thank you, Kevin, and good morning, everyone. Before I begin my remarks, let me just make a quick clarification to an earlier comment. We issued 7 million shares with the Territorial Bancorp transaction. And now beginning on Slide 9. Our net interest income totaled $118 million for the second quarter of 2025, an increase of 17% from the prior quarter. This reflects the positive impact of the Territorial acquisition and organic loan growth as well as an expansion in our net interest margin. On the bottom left quadrant of this slide, you can see the 2025 second quarter pretax acquisition accounting adjustments associated with the Territorial transaction. We will continue to recognize such adjustments on a quarterly basis through the amortization periods, as noted in the table. Accretion income from Territorial loans was $4 million in the second quarter. Accretion income is expected to become a recurring stable component of our interest income due to the long-dated nature of Territorial loans. The amortization period of this portfolio is currently estimated to be 12 years. I will point out that the prepayment rate on this portfolio is slower than what was initially estimated at merger close in part due to changed forward interest rate curve expectations. For 2025, we are now expecting to recognize approximately $12 million of loan accretion income at approximately $4 million per quarter compared with $14 million anticipated initially for 2025. In June, we sold a portion of our legacy investment securities available for sale with a fair value of $418 million and an aggregate weighted average book yield of 2.33%. The net proceeds from the sale were redeployed to purchase higher-yielding securities with an aggregate average market yield of 5.42% at the time of purchase. All else equal, the impact of this repositioning is expected to contribute approximately $12 million per year to interest income. Overall, our net interest margin increased by 15 basis points quarter-over-quarter to 2.69% for the second quarter of 2025. On Slide 10, we show you the quarterly trends in our average loan and deposit balances and our weighted average yields and costs. On to Slide 11. Let's look at our noninterest income. Included in noninterest income is a $39 million net loss on the investment securities repositioning that I just discussed, which we consider a notable item. Excluding notable items, the trajectory in our noninterest income has been a highlight over the last year. Second quarter 2025 noninterest income of $15.9 million, excluding the notable loss was up 44% year-over-year. Service fees on deposit accounts have continued to grow quarter-over-quarter. Swap fee income increased year-over-year by $1 million and year-over-year -- excuse me, customer swap fee income increased quarter-over-quarter by $1 million and year-over-year by $1.6 million, reflecting improved customer demand. I will also note that first quarter 2025 other income included a favorable valuation mark of $1.7 million related to the sale of non-SBA loans, and this did not recur in the second quarter. In the second quarter, we sold $67 million of SBA loans and recognized net gains on sale of $4 million. This compares with sales of $50 million in the first quarter and $3.1 million of net gains on sale. Some sales that were initially planned for the first quarter moved into the second quarter, so we look at this result on a first half basis in aggregate. Moving on to noninterest expense on Slide 12. Our noninterest expense totaled $109.5 million in the second quarter, including notable items, which largely comprised onetime merger-related costs. Excluding notable items, noninterest expense was $92 million in the 2025 second quarter, which compared with $81 million in the first quarter, also excluding notable items. The quarter-over-quarter increase generally reflected the addition of the Territorial operations to our organization. Our efficiency ratio, excluding notable items, improved quarter-over-quarter to 69.1% compared with 69.8% for the first quarter of 2025. I will also mention a notable tax item this quarter. On June 27, 2025, California state tax apportionment law changed. Consequently, the onetime remeasurement of our deferred tax asset cost us $4.9 million this quarter, which we include in notable items. On an ongoing basis, this tax law change will lower our company's effective tax rate by approximately 1%. Now moving on to Slide 13. I will review our asset quality. Our allowance coverage of loans was 1.04% as of June 30, 2025, compared with 1.11% as of March 31. The change in the coverage ratio primarily reflected the addition of the loans acquired from Territorial, which have a lower reserve requirement due to the lower credit risk profile of residential mortgage loans. Criticized loans declined by $34 million or 8% quarter-over-quarter to $415 million at June 30, 2025. Within that, special mention loans decreased by $47 million or 26%. As a percentage of total loans, our criticized loan ratio was 2.87% at June 30, down from 3.36% at March 31, 2025. Nonperforming assets as of June 30th totaled $113 million, representing 61 basis points of total assets, up from 49 basis points of assets as of March 31. This fluctuation is largely driven by 1 commercial real estate loan, which is well secured by collateral property in a prime location. That charge-offs totaled $12 million or 33 basis points of average loans for the second quarter on an annualized basis compared with $8 million or annualized 25 basis points of average loans in the first quarter. The 2025 second quarter provision for credit losses was $15 million and included merger-related provision for credit losses of $4.5 million, comprising $3.9 million of day 1 provision for Territorial loans at acquisition close and $600,000 net write-off related to the exit of Hope's credit card portfolio. These items we consider as notable. With the acquisition, Hope is adopting Territorial's white label credit card program. Excluding notable items, the second quarter provision for credit losses of $10.5 million compared with $5 million in the first quarter, reflecting second quarter net charge-offs as well as a quarter-over-quarter increase in the allowance for unfunded loan commitments. With that, let me turn the call back to Kevin.
Kevin Kim: Thank you, Julianna. Moving on to the outlook on Slide 14. We continue to expect 2025 loan growth at a high single-digit percentage rate. Drivers in the second half of the year include continued improved frontline productivity, building on trends from the second quarter as well as the impact of frontline hiring that we are continuing to make. In our outlook, we customarily used the forward interest rate curve, which currently assumes Fed funds target rate cuts in October and December of 2025. A quarter ago, cuts were expected in June, September and December. All else equal, higher for longer interest rates negatively impact our net interest income. Accordingly, in our outlook, we continue to expect net interest income growth in the high single-digit percentage range for 2025. The negative impact of fewer funds rate cuts on our net interest income, and the updated slightly lower amount of loan accretion income expected to be recognized in 2025 will be offset by the incremental increase in interest income from the legacy investment portfolio repositioning that we executed in June. We are increasing our year-over-year fee income growth expectations to be in the high 20s percentage range for 2025 based on the year-to-date momentum across various business lines. This excludes notable items. Our outlook for noninterest expenses, excluding notable items, is unchanged at low double-digit percentage growth year-over-year. Lastly, we anticipate an effective tax rate of approximately 14% in both the third quarter and the fourth quarter. This reflects the California state tax apportionment law change and the impact and timing of the tax credit investments we are making. With that, Drew, please open up the call for questions.
Operator: [Operator Instructions] The first question comes from Matthew Clark with Piper Sandler.
Matthew Clark: On your fee income guide, I think it looks like you're on pace to do roughly $63 million for the year. So -- sorry I'm we're getting some feedback -- $63 million for the year. I guess, I know it sounds like SBA was a little heavy with a delay in sales in 2Q. But anything else going on in the second half within fee income that we should think about?
Julianna Balicka: Yes. I think for second half fee income, Matthew, the FDA, basically, it's a question of timing. You take a look at on first quarter and second quarter and average it out, right? But for the second half of the year, things that we can think about that are positive drivers, as we pointed out, customer swap fee income growth has been a real highlight vis-a-vis year ago levels as a company, we've made a concentrated effort towards promoting that product and underwriting CRE loans with a customer swap in place as opposed to the traditional fixed rate loans. So that is continuing to drive fee income growth. And also as our loan growth momentum continues -- the production momentum continues to improve. We are looking at positive trends in other loan-related fee income -- fee income really origination fees, unused commitment fees, a range of fees, that general -- that general bucket.
Matthew Clark: Okay. Okay. And then shifting to the margin, I didn't see a spot rate in your deck or in the release. But if you had the spot rate on deposits at the end of June and what you're assuming within your outlook in terms of cumulative beta on deposits through the cycle?
Julianna Balicka: The spot rate at the end of June was 2.93%. And that's down, by the way, quarter-to-date by midpoint in July as well. So it's continuing to improve. And in terms of the full beta that we're assuming for the cycle, given the fact that rate cuts have delayed themselves towards October and December, we don't really -- there's not much more beta to be had this year. So there isn't any change to beta expectations vis-a-vis last quarter, but I will share that for the coming cut when that happens, we're planning on executing betas at a higher pace than we have in initial cuts, so 100% or better -- and deposit product, obviously, and then the impact of CDs changes to total deposit beta calculation, as you know, since that's timing based.
Matthew Clark: Yes. Okay. And then can you just remind us what percent of your loans are truly floating, that reset with each Fed cut with Territorial now on board?
Julianna Balicka: About 42% of our loans is truly floating.
Matthew Clark: Got it. And then do you have -- how much in the way of cost saves do you have left for Territorial so we can consider that going forward?
Julianna Balicka: In the Territorial franchise, we are very delighted to welcome the Territorial team members into the Bank of Hope family, and we have been focusing on strengthening those operations, as you well know, through other M&A. Generally in M&A, the upfront cost saves are executed in the beginning, which generally relate to corporate administrative cost cuts. And as we have said in the past, we plan to focus on maintaining the continuity of the customer experience. So right now, I will say that there is still more integration and cost fees coming in the second half of the year. But as far as the magnitude, we will share that later in the year.
Operator: [Operator Instructions] The next question comes from Gary Tenner with D.A. Davidson.
Gary Tenner: A couple of my questions were already asked. But with the deal closed, CET1 ratio over 12% and the stock below tangible book, any thoughts here on a buyback as the dust settles on the transaction?
Kevin Kim: Well, Gary, we have been carefully evaluating our capital efficiencies and the securities repositioning in June was part of our capital deployment strategies, and we are continuing to assess additional opportunities, I think I can say that much.
Gary Tenner: Okay. And then just in terms of the conversion timing for Territorial, when is that going to occur?
Kevin Kim: Conversion, meaning the system conversion?
Gary Tenner: Yes. System conversion?
Kevin Kim: Yes, that is expected to be completed by the end of next year. We have tentatively decided to run a Territorial system for the time being because they're system is very close to the expiration of their contract and we are very close to that.
Gary Tenner: Okay. So does that just push out the cost savings that you had talked about when the deal was announced, I think it was like 27% or so of Territorial expenses that just pushed that out deeper next year.
Julianna Balicka: Not necessarily the core costs and the IT costs were not the biggest component of Territorial's cost base. If you look at Territorial's disclosures and their proxy statements, you will see that the largest component of cost savings from that franchise would come from the form of executive compensation.
Operator: The next question comes from Kelly Motta with KBW.
Kelly Motta: I was hoping to circle back to your expectations for loan growth. On an organic basis, it was relatively modest this quarter, but you mentioned you're making some frontline hires to help drive the outlook ahead. I'm wondering if you could share a bit more as to what you're doing on that front. And kind of the cadence of their contributions, as I know, it can take a bit of time in order for new hires to add to net growth?
Kevin Kim: Yes. We have been hiring a very experienced, talented commercial and corporate bankers over the past several months, and we are continuing to do that. And if you look at our loan production in the second quarter, we have a very meaningful increase from the first quarter. And I think the -- based upon the pipeline that we have at the beginning of the third quarter, our loan production will continue to increase over the rest of the year. In our payoff trends, our payoff in the second quarter was not as high as it was in the first quarter, but still the payoffs and paydown trends remain at elevated levels. And I think once this -- the payoffs and paydowns have been stabilized, and normalized without the added origination volumes that we can expect from these new bankers, I think the loan growth expectation in the third and fourth quarter is pretty doable for us.
Kelly Motta: Got it. That's helpful. And then a second one from me on asset quality. You guys called out in the release the migration about CRE credit so per disclosure, it's well secured and in a prime location. Just as you think about the overall credit picture and what you're seeing, I'm wondering if there's been any shift in how you're viewing asset quality of the portfolio relative to maybe a quarter ago when things were more uncertain with tariffs and just -- could just provide us with a bit more color as to how you're feeling about credit and what you're watching more carefully?
Peter Koh: Sure. This is Peter. Yes, we're actively monitoring our portfolio. I think we're feeling cautiously optimistic. I think a lot of the high levels of uncertainty, although there's still around, and we're definitely monitoring the situation, but we remain cautiously optimistic. I think if you look at our just overall level of potential problem loans, which is really represented by our level of criticized assets, you saw some meaningful decline this quarter. So really, I think, barring any unexpected volatilities in the macroeconomic environment, we are -- we do think that asset quality remains manageable and stable.
Operator: The next question comes from Tim Coffey with Janney.
Timothy Coffey: Kevin, I was wondering, could you provide some commentary on the legacy borrowers in Hope Bancorp, the ones that are on the commercial side more towards the retail aspect of those businesses. How they did in the second quarter? Because I think at the beginning of the quarter, there might have been a lot of uncertainty around it, but it seems like that uncertainty started to evaporate by the end of the quarter.
Peter Koh: Actually, this is Peter. I can probably answer that. I think just the level of uncertainty was much higher, I think, as we sort of started the quarter in Q2. I think a little bit of that dust is little bit settling down. There's obviously still a lot of uncertainty. But actually, I think as we've been monitoring the situation. I think the economy and particularly, the consumer base has remained fairly resilient. And although there's still some risk there and we're definitely being proactive around that, we have -- really haven't seen much impact to our customer base as of yet.
Timothy Coffey: All right. Great. Thanks a lot, that appears great. And then looking at the deposit portfolio, right? I mean there seems to be a pretty good balance now between commercial and consumer balances. Is that something, one you'd like to continue to maintain that kind of that balance? And also, do you have a target for how much broker deposits you'll need going forward?
Julianna Balicka: Well, we have stated in the past our target loan-to-deposit ratio is to be up to 95%. We're obviously at below 91% there. So we do have some growth and excess liquidity at the moment. However, but that should give you an idea for how much deposit growth we believe we need on an ongoing basis because we've also said in the past that on a medium-term basis, we would like to target loan growth in the high single digits, right? Now in terms of the customer base balance, I think we have a pretty great balance right now between consumer and commercial loans. Our broker deposits are down to 5% of total deposits. So this is a pretty good place from which to focus on generating growth and expanding the customer wallet share and adding new relationships.
Operator: And we have a follow-up from Kelly Motta with KBW.
Kelly Motta: Thanks for letting me jump back in. Just a quick modeling question for Julianna. Can you remind us how much more onetime costs are yet to be realized? And now with the conversion kicked out a bit, would those occur closer to conversion? Or is there a cadence to expect for the back half of the year?
Julianna Balicka: One second. In the back half of the year, there'll be probably a couple of million more of onetime costs in the third quarter and then probably a couple of million more in the fourth quarter just from various odds and ends, if you will. So that's what I can share with you right now.
Operator: And we have a follow-up from Gary Tenner from D.A. Davidson.
Gary Tenner: I just wanted to ask, I apologize if I missed this. But in terms of the new production in the quarter, what was the average yield on new production?
Julianna Balicka: The average yield on the new production was approximately [ 76 ]%.
Operator: And we have a follow-up from Matthew Clark from Piper Sandler.
Matthew Clark: Just another housekeeping item. For next year, the tax rate I know it's going to come down by 100 basis points, but does that imply 24% for next year?
Julianna Balicka: No, I think that the tax rate for this year, on a full year basis sits at 21%. When you look at 2026, I think our kind of tax year kind of going forward beyond this year will be in the 20 percentage -- again, not taking into account any tax law changes that may impact 2026 from the passage of recent federal legislation, okay? So just based on what is in place today, I would say that our tax year kind of going -- tax rate and then going forward will be kind of in that 20%, 21% range, and it's down from the prior year because of the state apportionment tax law change, but also because we are continuing to invest in low-income housing and other tax credit investments to help lower our tax burden.
Matthew Clark: Okay. Great. And then just net charge-offs this quarter up a little bit. Anything chunky in there or anything maybe unusual to call out? Just trying to get a sense for where that might go going forward? I know it's tough to say, but?
Peter Koh: Yes. The charges were up slightly this quarter. I think that we remain at manageable levels. I mean we still have some cleanup that we're undergoing right now. So I would just look at sort of just portfolio management as the reason there. But going forward, as you have heard, I think our level of overall [ problem ] credits or criticized assets going down. NPLs did have a little uptick, but it's a real estate property that's well secured. So on the asset quality front, we are, again, cautiously optimistic. Do you think there is a road map here. The macroeconomic environment continues to support that we will remain at stable manageable levels going forward.
Operator: And we have a follow-up from Kelly Motta from KBW.
Kelly Motta: Thanks for letting me hop in a third time now. Last question for me on the guidance, you maintained it, but you also had the benefit of the securities restructuring in the back half of the year. It seems like some of the guide change is related to taking out a rate cut, the accretion from Territorial, but on a core, core basis, it's still seems down. Wondering if you could share if that's really just the function of rates or if there's something else that is creating that variance, whether it's maybe some additional pressure on the deposit side or slower loan growth. Just wondering if you could provide some color as to what drove that.
Julianna Balicka: Yes. I can add a couple of comments to that. I mean if you think about it when we provided the guidance in April, right, we were looking at a rate curve with the first cut starting in June. So that would have given us 2 full quarters of a rate cut and then a cut in September, which would have given us like a full quarter of another cut, right? And all else equal, as you can see in our 10-Q disclosures, 100 basis points impacts our NII by $20 million. So taking out -- so model to model, if we took out the impact of the curve change from our kind of first quarter forecast, that would have taken out about a net $4 million of income. So we were able to make that up and offset that with the securities portfolio repositioning, right? And then the change in the forward curve also impacted the pace of recognition of accretion, higher for longer, all else equal, does slow down the prepayment speed. So the upfront accretion in year 1 for us, we're now looking at $12 million versus $14 million. So that kind of gets you to the math of maintaining the NII unchanged. And also, we're continuing to improve the pace of originations, but quarter-to-quarter, the blended loan yield on originations did decrease a little bit. So continued kind of competitive pricing in the market for loan growth is also coming through. But basically, the math on it are really, really the curve driven and accretion driven. And then you can ask yourself what can we do to kind of change that conversation without just waiting for another rate cut. We've been very proactive in working on our deposit mix and reducing our higher cost deposits as you saw the continued improvement from broker deposit exposure, et cetera.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to management for any closing remarks.
Kevin Kim: Thank you. Thank you, Drew. Once again, thank you all for joining us today, and we look forward to speaking with you in 3 months. So long, everyone.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.